Executives: Wayne Brownlee - Chief Financial Officer, Principal Accounting Officer, Executive Vice President and Treasurer Joseph Podwika - Senior Vice President, General Counsel and Secretary Denita Stann - Vice President of Investor & Public Relations Garth Moore - President of PCS Potash William Doyle - Chief Executive Officer, President, Non-Independent Director, Chief Executive Officer of Potash Corporation and President of Potash Corporation Stephen Dowdle - President of PCS Sales
Analysts: Horst Hueniken - Stifel, Nicolaus & Co., Inc. Michael Picken - Cleveland Research Company Charles Neivert - Dahlman Rose & Company, LLC Ben Isaacson - Scotia Capital Inc. Vincent Andrews - Morgan Stanley David Begleiter - Deutsche Bank AG Elaine Yip - Crédit Suisse AG Jacob Bout - CIBC World Markets Inc. Jeffrey Zekauskas - JP Morgan Chase & Co Mark Connelly - Credit Agricole Securities (USA) Inc. David Silver - BofA Merrill Lynch Lindsay Mann - Goldman Sachs Group Inc. Paul D'Amico - TD Newcrest Capital Inc. Edlain Rodriguez - Gleacher & Company, Inc. Donald Carson P.J. Juvekar - Citigroup Inc
Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the PotashCorp Second Quarter Earnings Conference Call. [Operator Instructions] I would like to remind everyone that this conference is being recorded on Thursday, July 28 at 1:00 p.m. Eastern Time. At this time, I will now turn the conference over to Denita Stann, Vice President of Investor Relations and Public Relations. Please go ahead.
Denita Stann: Thank you, Brock. Good morning, everyone. Thank you for joining us, and welcome to our second quarter earnings call. In the room with us today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Garth Moore, President of PCS Potash; Brent Heimann, President of PCS Phosphate and PCS Nitrogen; and Stephen Dowdle, President of PCS Sales. I'd like to welcome the media who are listening in and remind people that we are live on our website. This morning, we posted an investor presentation on our website. And during Bill's remarks, we will be highlighting some information from this presentation. I would also like to remind everyone that today's call may include forward-looking statements. Such statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of such statements, and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also, today’s news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures.  I'll now turn the call over to Bill, and we'll have some comments and then go to questions.
William Doyle: Thank you, Denita, and good afternoon, everyone, and thank you for joining us for this discussion of our second quarter performance, a quarter that reflected strengthening conditions for the fertilizer sector and elevated us to the highest first half earnings in our company's history.  Pressure on global food production continued to drive robust demand for all 3 nutrients and supported the growing momentum behind our business. Another strong quarter for potash sales volumes raised our 6-month total to 5.3 million tonnes, a record for our company. Canpotex, the offshore marketing company for Saskatchewan potash producers, sold record volumes in the first half, closing the quarter with the second-best month in its 39-year history. This was achieved even though India was absent from the market, demonstrating the widespread global demand for our core nutrient. Demand for phosphate and nitrogen was also strong, and tightening supply led to significantly higher prices for all 3 nutrients. The combination of price and volume gains resulted in earnings per share of $0.96 for the quarter and $1.79 for the first half, both records for our company.  We generated $1.2 billion in gross margin during the quarter, with potash contributing more than 2/3 of this total. The favorable market condition is expected to continue for all 3 nutrients in the second half. We are raising our 2011 guidance to $3.40 to $3.80 per share, including a forecast of $0.80 to $1 per share for the third quarter. More importantly, we look forward to demonstrating the potential of PotashCorp as we anticipate more of our new potash production will be required. While we believe we are entering a period of unprecedented opportunity, strength of our business has, at times, been overshadowed by a number of macroeconomic issues. Many investors remain cautious because of uncertainty surrounding the U.S. economy and the sovereign debt situation in a number of European countries. In our view, these are very important issues, but not ones that are likely to alter global population trends and the underlying pressures on global food production.  Unfortunately, the sting of the economic downturn is still fresh in people's minds, and any hint of uncertainty tends to trigger strong responses in equity and commodity markets. We witnessed this in June when the U.S. Senate voted to remove the ethanol blenders tax credit and import tariff. Some observers assumed the change would sharply impact corn markets and by default, the fertilizer business. But this ignored some very basic facts.  First, even with this potential change, mandated levels for biofuel use remain in place. As you can see on Slide 7 of our presentation, the amount of ethanol blending above mandated levels, the portion that could be at risk if the credit is removed, impacts only 2% of total U.S. corn demand. With growing global demand for energy and higher prices for oil, ethanol blenders are expected to remain profitable without the tax credit. So it is unlikely that all of this discretionary blending would be lost if the credit is removed.  Secondly and more importantly, our business is global, and the prospect of short-term issues in a regional market wherein prices for selected crops does not change the long-term need for increased yields and proper fertilization. The reality is the world's grain supply remains under pressure. Even with farmers increasing planted acres, it will take exceptional yields to meet current demand, let alone provide any surplus to begin rebuilding global inventories. In simple terms, the world's food supply has little margin for error. Given weather-related issues in key growing regions of the world, including the late planting and recent hot spell in North America, there could be further pressure on grain supplies this year. The strain on the world's food supply is not a short-term issue. We believe it is a fundamental shift that has changed the dynamics of crop commodity markets. Grain buyers are seeing beyond macroeconomic issues and taking steps to secure a share of the world's food supply, which is keeping crop prices at supportive levels.  When December corn futures declined to just under $6 per bushel earlier this month, it triggered a significant commercial purchase in the domestic and offshore markets. Buyers in China booked large volumes of corn, a clear indication of their pressing domestic needs. It is a testament to the strength of the market when $6 corn is viewed as a buying opportunity.  Same mindset extends to other crops grown around the world. I can tell you that when Brazilian farmers see soybean prices at $14 per bushel, sugar at $0.30 per pound and cotton at more than $1 per pound, they are highly motivated to plant and increase fertilizer applications. Situation is similar for growers in Indonesia and Malaysia, where palm oil is selling for more than MYR 3,000 per tonne.  While prices for crop commodities will always fluctuate, the importance of long-term sustainable solutions to increase production does not change. Farmers need and want to grow more food. And to do that, they will need more fertilizer, especially potash.  As growers around the world work to address nutrient deficiencies and capitalize on tremendous economic opportunity, we have achieved a new level of geographic diversity in our potash sales. In the past, it was commonly assumed that a few large-volume markets like China and India would determine our level of success. But in the first half of 2011, PotashCorp had record potash shipments even though China and India together accounted for only 10% of our total sales volumes. Potash buyers in North America, Latin America and spot markets in Asia were quick to realize supply was tight and increased purchases to meet immediate consumption trends. Strong offshore demand is expected to continue in the second half, as Canpotex is fully committed for the third quarter and has significant volumes already booked for the fourth quarter. While the proportion of global sales to China and India may be temporarily reduced, their agronomic need and the impact of the return to historical trends should not be overlooked. We expect the pressure on food supply in these countries, combined with reduced potash inventory levels will set the stage for increased demand for potash in 2012.  Just as rising consumption has put pressure on grain supply, the increase in potash demand is expected to test the world's production limits for the foreseeable future, and these conditions are supporting higher prices for potash. Canpotex has booked significant volumes at a $30 per tonne increase in the Brazilian market for shipments in the third quarter. China settled contracts with key suppliers that included a $70 per tonne increase, demonstrating their needs to secure supply to ensure a seamless transition for second half shipments. In the domestic market, PotashCorp is sold out for the third quarter, and we started booking tonnes for the fourth quarter with a $30 per tonne -- per short ton increase.  With mounting pressure on potash supply capability, we believe meeting the world's growing potash demand will be one of the great challenges facing our industry in the years ahead. At Potash Corporation, we began addressing this issue 8 years ago, and our commitment to our potash expansion program has never wavered since it was launched.  We believe then, as we do now, that growth in potash consumption would inevitably surpass the existing production capabilities of global producers. Earlier this year, we estimated global potash operational capability for 2011 to be approximately 61 million tonnes, based on a best-case scenario of producers operating with minimal unexpected downtime and without delays in ramping up new capacity. Running at full capacity is a tall order for any large industrial operation. And as you might expect, there have been issues that we believe have limited actual global production.  According to industry publications and public company reports, certain facilities have faced operational challenges this year. Even the ramp up of our new Cory red mill has faced unplanned delays, and we now expect it to be up and running at improved rates in the third quarter.  Bringing on new capacity seems straightforward on paper, and some people believe it takes only the flick of a switch to achieve your post-expansion capability. Decades in the potash business have taught us that there will be hurdles in the process of building and ramping up new capacity. This is why the work we initiated in 2003 gives us an important and valuable head start as we enter an era of tight supply-demand fundamentals for our core nutrient.  With more than half of the world's estimated new supply coming from our projects between now and 2015, we believe we can capture a significant share of demand growth over the next several years as many competitors only now are planning in their early phases of their expansion programs. We have approximately 2/3 of our capital spending already behind us, which is important as construction and labor costs are climbing.  The supply of human resources, like the supply of the world's potash, is also expected to grow tighter, especially in Saskatchewan. We know firsthand how difficult it can be to find engineers, pipefitters, welders and other tradespeople. Fortunately, much of our work was completed in the midst of the global economic downturn, when the landscape wasn't nearly as competitive as it is now.  We expect projects launched in the future will be increasingly difficult and more expensive to execute. In contrast, we expect to be ramping up and introducing new operational capacity over the next several years, benefiting from the potential for increased volumes and prices. As we anticipated, demand for potash has continued to grow, and we have taken the necessary steps to ensure we are part of the solution to improving global agricultural productivity. Today, we are better prepared than ever to meet the needs of our customers, our employees, suppliers and communities and to deliver strong performance and exceptional returns for our shareholders.  Thank you for your interest in PotashCorp. And I'm joined today by our management team, and we'll be happy to answer your questions.
Operator: [Operator Instructions] The first question today comes from P.J. Juvekar of Citi.
P.J. Juvekar - Citigroup Inc: Can you quantify the benefit of all the new CapEx in your 4 expansions that are taking place? What does that mean in terms of reduced mining taxes?
William Doyle: Well, the benefit -- I'll let Wayne handle the tax question, but the benefit of the expansions obviously, P.J., is going to be we're going to have a lot more tonnes to bring to the marketplace at a time of very tight supply-demand fundamentals. And as I said in my remarks, between now and 2015, we have over 50% of all the expansion capability in the world coming on stream. So I think when you look at the scenario we see for both demand and prices, the impact is going to be pretty impressive. Wayne, you want to talk about the tax side of things?
Wayne Brownlee: Yes. Just very generally, I would say that as you know, we get to deduct immediately the capital amounts that we're spending. We grossed them up by 20% and we deduct them against current income. That has the benefit of basically a tax deferral, where you're accelerating deductions as opposed to taking them over time. And so you do get a onetime benefit of a liability that you would have -- benefit that you would've gotten anyways. It generates a reduced mining tax that currently is in a range of 5%. If it wasn't for that deduction, then probably our mining tax would be closer to 15%. As we move over time, the incremental tonnes are not likely to be taxed under the current regime. And therefore, as we reduce our capital spending program, you should expect to see our tax level go up without being mitigated by the fact that the incremental tonnes are not taxed. I would say to a broader audience that is not the only taxes that we pay in Saskatchewan. We also pay royalties. We also pay other taxes, including income tax. And in fact, if you take a look at our total tax level into Saskatchewan for -- against Saskatchewan earnings for 2011, we think that our total tax rate all-in for Saskatchewan earnings is about 32%. So the royalties is only one part of it, and really what you're seeing on our income statement is a onetime benefit that reflects the deferral of that liability.
Operator: The next question comes from Elaine Yip of Crédit Suisse.
Elaine Yip - Crédit Suisse AG: So a question on your potash volumes. They're obviously very strong in the first half of the year and tracking pretty well when we compare it to 2008 levels. Can you comment on what you're seeing in the marketplace and how the current customer buying behavior compares to what we saw back in 2008, and how it might be different?
William Doyle: Elaine, I would say that the comparison between now and 2008, it is a lot more stable in terms of the approach, both from the customers' and I would say from the suppliers' side of the equation. And if you look at the increases we're now seeing, yes, we saw a $70 increase in China for the second half. If you're looking at North American domestic markets, you're seeing $30, $40-type increases quarterly. So I think a much more restrained look at pricing, which I think is obviously much more sustainable. And if you look at, obviously, where fertilizer prices are today versus where they were in 2008, and if you look at grain markets and then all of the other Ag commodities around the world, much more affordable. So I think overall, much more sustainable, Elaine, is what I would say.
Operator: The next question comes from Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley: Bill, how are you going to think about balancing pricing and also bringing your brownfield online, whether it's through the balance of this year into next year and thereafter? What's more important to you, getting prices to move further, higher from here, or getting that capacity online and getting the markets growing further?
William Doyle: Well, my classic answer to that, Vince, and people say, "Which would you like better, price or volume?" I always say both. So we're going to get both. And that's really where the multiplier works for Potash Corporation. That quintuple leverage that we talked about, you add the tax component that Wayne just mentioned and then our costs coming down and then also the same fundamentals that apply to our offshore investments. That quintuple multiplier is unique to us, and I think you're going to see that uniqueness play out here over the next 3 to 4 years as we bring on these expansions. And that multiplier effect is going to be very dramatic for our earnings. And I just think that we are in a -- because we have more mines than anybody else, because we started the expansion programs far earlier than anybody else, we are ready to respond to the opportunity that's there.
Operator: The next question comes from Ben Isaacson of Scotia Capital.
Ben Isaacson - Scotia Capital Inc.: My question is on India. I agree with you that the country will have to come back to the market soon, but they continue to be willing to hold out. So my question, is can you provide any intelligence on India's potash inventory situation right now versus where it should be for this time of year? And also maybe talk a little bit about when they use potash on a seasonal basis. From what I understand, they use about 40% of their potash in our Q4.
William Doyle: Ben, I'm going to ask Stephen Dowdle comment on the last part of the question. The first part of the question is India's current situation is there's a stock-out in the country. We know from our private sector customers, who are just absolutely desperate for potash, that there is extraordinarily low inventory to nonexistent inventory in the Indian system. If you think about where we've gone with Indian potash negotiations, really, it's taken so much of the headlines. When we look at our total number, as I said, India and China combined for the first half were 10%. India was actually less than 2% of our total first half sales volume. It just speaks to the strength of the rest of the market. But specifically speaking to the Indian negotiations, I'll tell you what I said to my board. We had our board meeting yesterday, and got asked a question at the board about the Indian negotiations. So I just said this year's Indian potash negotiations have been a real tragedy, and it's one in which there was failure to recognize the changing marketplace. And the rules of supply and demand, they apply to everyone. There are no -- there's market immune from supply and demand fundamentals. The essential problem is that the private sector in India has been constrained by the implementation of the government subsidy program. And we think they could really improve the ability of India to receive timely potash shipments if the private sector were free to negotiate the best possible price for their own operations. They have this capability when it comes to buying phosphate. They recognize the market for phosphate, they recognize the market for nitrogen, they recognize the market for sulfur, but they don't yet recognize the market for potash. And that recognition needs to be accomplished. So the threats of taking a potash holiday, they may actually prove to be partially true, but it might be forced rather than voluntary. So the whole thing has been extraordinarily frustrating for everyone involved. And as I said, it's a tragedy. And we're so sympathetic to our private sector customers who have been just great supporters of ours, and we've been great supporters of theirs. And we've just been constrained by the government position on this subsidy situation. But at the end of the day, the ones who suffer most are the Indian farmers and everyone who depends on Indian food production. So hopefully, we'll see the market be allowed to work in India. I think it would really benefit the country going forward. Stephen, you want to talk about when potash is used in India?
Stephen Dowdle: There are 2 main growing seasons in India. There is the season we're in right now, which is the kharif season, and this is the monsoon period. So the kharif crops are largely fed by the monsoon rains. And the next season is the rabi season, and that season is a largely the moisture supplied, the benefit of the monsoons. And to point out that use of potash is particularly important during this season, during the rabi season, because the crops typically will experience more stress during the growing season. And potash is -- adequate potash applications is certainly a great benefit to the crops growing in the non-monsoon season.
Operator: The next question comes from Lindsay Drucker Mann of Goldman Sachs.
Lindsay Mann - Goldman Sachs Group Inc.: Just real quick. You mentioned that you're filled out for your 3Q shipments. I was curious if you could give us a sense of the regional split there? And then also maybe help us understand why the dramatic discount we're seeing on international prices, and I guess even China in particular versus what's currently occurring in the U.S. spot markets.
William Doyle: All right. Lindsay, I'll answer the second part of the question first, and Stephen talk about third quarter location of tonnage. We have a gap between the domestic and the international. What you'll see happen here over the next little while is international prices will come up to close that gap. And you'll just see faster price movements internationally than you will domestically. It doesn't mean we won't have increases domestically, it just means that international is going to move quicker. Historically, if you go back in time over a 30-, 40-year period, I can tell you that the international prices were higher a great majority of the time than domestic prices. So this is a bit of an anomaly, but you'll see that change occurring here over the next little while. Stephen, you want to comment on the...
Stephen Dowdle: As far as the split between the offshore and domestic, during the first half, approximately 64% of our volume went offshore. And that's fairly typical. And we really don't expect to see any significant change in that percentage going forward.
Operator: The next question comes from Mark Connelly of CLSA.
Mark Connelly - Credit Agricole Securities (USA) Inc.: Bill, as we think about the move from annual to semiannual negotiations with both China and India, it was supposed to make the process smoother. And there was talk that it was going to improve the clarity about tonnage requirements. It doesn't really feel like it's worked that way in either one. You sold less to China than we would have expected the first half, Russia sold less overall. So I'm just curious if we could step back, if you could share your view on how well the transition is going. Is it just early days and we need to work it out, or do we need to think about moving to a third system?
William Doyle: I'd say the China semiannual negotiation worked very well. The problem in China is just availability of tonnage this year with the market being so tight. Although if you think about what happened here for the second half, China first half contract that hadn't ended June 30 -- will be concluded in the last week of June, so we had a seamless transition. China had no problem recognizing the market. They actually knew the market was tight, and they knew they should move quickly because the tonnes were limited, because in the end result, China got the tonnes and India didn't get the tonnes in the third quarter. We told both sides as early as the EFA meeting in Montreal at the end of May, that whoever moved first was going to get the tonnes. I mean, they're just limited tonnes. When you see the strength of that market, when I talked about together, they're only 10% of our total business, that other 90% was on it during the first half. And markets that we'd never ever seem to focus in on from a publications point of view -- generally, people who follow our industry don't think about markets like Thailand and Vietnam and Korea and Taiwan and the Philippines and Malaysia and Indonesia are just starting to come into people's mindsets. But you start thinking about some of the markets in Latin America, which continue to grow, the Columbias and the Central American markets. And obviously, Brazil is the big chunk of that, that's growing very quickly. But there are other markets there that are growing as well. So this broad base that we have to our business, those folks knew that the market was tightening. The Chinese also knew that the market was tightening. I can tell you it was a seamless negotiation with very little time spent actually on the negotiations with China, and so I would say the only market that we have left that is acrimonious still, and it's unfortunate, I think it's due to government involvement, as I said earlier, is India. And we really need to free up the private sector to allow them to run their business. I mean, it's tremendously frustrating for all involved, but I think they're going to change because they obviously see it in phosphate. They obviously see the benefit in nitrogen and sulfur. And potash is a crucial nutrient as well in India. And I think it's coming.
Operator: The next question comes from David Begleiter of Deutsche Bank.
David Begleiter - Deutsche Bank AG: Bill, can you share with us your views, your intelligence on the situation in Belarus? And if that mine were to be offline for an extended period of time, what would the impact, do you think, would be on pricing?
William Doyle: Okay, David. Belarus, we know there's obviously an inflow there. We've actually seen some videos of the inflow. From what we've seen so far, it doesn't seem to be anything that they can't manage from pumping. There's a long history in this business of inflows, and the ability of the industry to manage inflows has gotten better over the years. So as of this moment, we don't see any major impact there. It's something to keep your eye on because water in a potash mine is a very hard thing to predict. And whether it's saturated brine or fresh water, all these conditions are ones that can have a big impact. I would tell you that the world can't afford it, that mine is a 2.3 million tonne mine. We're already tight as tight can be. We're going to be supply constrained this year. Most people don't realize that even yet, that there's going to be supply constraint. We will sell everything that's produced this year globally. And there will be more demand. And this is why if you look at India, that market is probably going to be -- 4 million tonnes supplied to India would be my guess at this moment. That is if they conclude, which will be down from 6 million tonnes, 6.3 million tonnes last year, which is going to put tremendous pressure on 2012 because they've got to catch up, because the agronomic need is growing. It's not being reduced. So we can't afford Belarus to have any serious problem. And I can tell you amongst miners, there's a couple things that we feel a fraternity about. And one is safety. If we ever have a fire in a mine, I mean, here in Saskatchewan, Mosaic had a fire a few years back, and our people were there fast going down to help rescue their people, that we know they'd send their folks over to help us, as well as Agrium. So there's a fraternity there that we really care about the safety of our people. And the other thing is that if we have inflows, we help each other. When Rocanville had its inflow in the early '80s, IMC at that time sent over a bunch of their pumping equipment. When Esterhazy had the problem there in December 1985, PCS, even as Crown corporation at that time, sent over their pumping equipment. So there's -- no one wants to see that, not on the producer side. And by God, the market can't afford it.
Operator: The next question is from Edlain Rodriguez of Gleacher & Company.
Edlain Rodriguez - Gleacher & Company, Inc.: Bill, quick question for you on India again. When India talks about being the largest importer, that they deserve a 5%, 10% discount to the spot prices in Southeast Asia or they shouldn't be paying more than China, then why isn't that a valid stand?
William Doyle: Edlain, when you look at that proclamation, I've heard that too, and I'm like, "But wait a minute, China is a bigger market than India. The U.S. is a bigger market than India and Brazil is a bigger market than India." It's just not true that they're the biggest potash market in the world. Yes, they're a very big market, and do we think they deserve a better price than some other markets because of the volumes that they buy? The answer to that is yes. But I think all this stuff is just lost in reality, and we need India to return to reality to get the potash market working the way it should in India.
Operator: The next question comes from Michael Picken of Cleveland Research.
Michael Picken - Cleveland Research Company: I just wanted to walk through your schedule for the second half of the year in terms of some of these mine shutdowns. If you could give us a little more color in terms of what type of output rates we should expect from you guys in the second half of the year? That would be helpful.
William Doyle: Michael, I'm going to have Garth talk to that.
Garth Moore: Michael, the shutdowns that are scheduled right now in the third quarter, we have Allan down for 9 weeks, we have Cory down for 4 weeks, Brunswick's down for 3 weeks, Lanigan for 3 weeks, Patience Lake is down for 9 weeks. In the fourth quarter right now, we have a 4-week downtime at Rocanville. So that's basically our production schedule as it is right now. And our total production for this year is going to be in the range of about 10 million tonnes, taking into account the second half production shutdowns we do have.
William Doyle: Michael, what I'd say to you is we always have summer shutdowns. This year, the Allan tie in is a 14-week total shutdown. Garth said 9 weeks during the third quarter. But I think what people have to realize, it takes time to tie in these additions to capacity. It's part of the ramp-up procedure. We've had a little slower go at Cory than we thought, some piping issues there that we've had to address. What I'd say is that these are all perfect indications of why we know that it takes longer than people think. But we're going to be right on time for the market, and 2012, we're going to be in better shape. We'll be 13 million tonnes of capacity in 2012, and we're going to be growing as these years come by. But thank God we had the big lead starting in 2003 because it just takes a long time. And the one thing that we just shake our head at around here is when people are out there saying well, they can bring a new mine on in 2 to 3 years, start to finish. I mean, it's comical if you're in the business and you know anything about it. From an investor point of view, I understand they're trying to sell projects and get people to keep owning their shares on some venture exchange or something, but it doesn't mesh with reality. It takes a long time to bring these projects on. And the expense of doing such is going to get more and more expensive as time goes on. And by the way, the inflation impact during this next decade, it's going to raise its head too. So not only are you going to have labor issues, but you're going to have all the raw materials that go into building a potash operation, and you won't be able to get fixed cost on any of that. You're going to be paying cost plus. These are extraordinarily expensive projects, these new ones coming. We're very, very happy to have 2/3 of our spend behind us.
Operator: The next question comes from Horst Hueniken of Stifel, Nicolaus.
Horst Hueniken - Stifel, Nicolaus & Co., Inc.: I read today's press release, in particular the text relating to the performance of the nitrogen business, yet I'm left struggling to quantify the impact of customer mix on your second quarter results. I'm referring to shifts in volume of ammonia, urea, other nitrogen products to industrial versus agricultural customers. Are you able to comment on if there has been a trend change, as I would have thought you would try and maximize your sales to higher-margin agricultural clients at this stage.
William Doyle: All right, Horst, I'm going to have Stephen respond to that.
Stephen Dowdle: Yes, Horst, in our nitrogen sector, approximately 65% is going to industrial and feed customers. Certainly, we have been able to move product, particularly ammonia, into the fertilizer sector as demand for ag ammonia has increased. Our UAN volume that goes to the fertilizer sector decreased due to our production at Geismar being limited by CO2 availability. That should change next year with the restart of Geismar producing ammonia, and we will once again produce UAN. So those fertilizer markets will be serviced adequately. But in answer to your question, we have been able to move, particularly in ammonia, to take advantage of the higher margins in the Ag sector.
William Doyle: Horst, I would say that it's important to understand we have a couple natural hedges that we try to pursue in our business because you operate these things over the long term. We found it advantageous in nitrogen to have more industrial base because normally, that was giving us about a 10% margin boost in normal times. In hot agricultural times, you won't get that, you'll have a little trade-off. I'd say in our phosphate business, our purified acid business is another hedge that we have. When phosphate fertilizer's really hot, that business may not look so good. But when you might have a little downturn, then you really like having that base. The diversity gives us much more predictability in our earnings overall.
Operator: The next question comes from Don Carson of Susquehanna Financial.
Donald Carson: Bill, I had a question I want to get an update on the Esterhazy situation. I know you're obviously disputing when that should revert back to Mosaic. But what would be the immediate impact if you were to lose that? Would that cost you lost volumes or just a change in Canpotex allocation? And I know in the past, you indicated that you thought perhaps by the end of 2012 was a more appropriate date for that to revert back to Mosaic. Just wondering what your current view is on the timing of the end of your tolling arrangement.
William Doyle: All right, Don. We'll handle that question in 2 part. I'm going to ask Joe Podwika just overall to comment a little bit. Joe is our Chief Counsel. And Joe, and then I'll follow up.
Joseph Podwika: Yes, Don. We welcome the opportunity to make an accurate statement regarding status of this case. There's been a misimpression created that we have agreed to a formula to pay Mosaic the difference between a market price and cost in the event it's determined that the current injunction was wrongfully granted. In fact, there is no such agreement. We did provide a standard undertaking when we applied for the injunction that every applicant for an injunction would give, which basically provides that to the extent that the other side is damaged by the injunction and if damages are appropriate, we'll pay the damages. The calculation of the damages and entitlement to damages are entirely something to be determined in the future. But that really is kind of a red herring. The key takeaway is that we believe that we're entitled to more tonnes from Esterhazy, and we believe that we're entitled to those tonnes through at least the end of 2013, if not much longer than that.
William Doyle: I think that's probably better clarity on the issue, Don. We haven't said a whole lot about it. What I'd say to you is that as you think back about various proclamations made, we're going to lose these tonnes originally at the first quarter 2010, and then the next comment made was we're going to lose these tonnes at the end of fourth quarter 2010. And then the next proclamation was that we're going to lose the tonnes June 30, 2011, and that didn't happen either. And so now we've got an injunction that says that we're going to have these tonnes through the end of this year, and then we'll see where we go from there. But I'm convinced that this is an issue that I've said before, that reasonable people will come to reasonable conclusions on. And we welcome that opportunity to have those discussions.
Operator: The next question comes from Jeff Zekauskas of JPMorgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: I also have a question on the Esterhazy tonnage. I realize that there's an ongoing legal dispute, but I was wondering if, Bill, if you could give us some insight into how Canpotex views the matter. In other words, from Canpotex's point of view, how does it make a decision as to whose tonnes the Esterhazy tonnes are, and is there -- are there any scheduled meetings, or what's the timing that a determination will take, or does it wait for a resolution in court?
William Doyle: Yes, it waits for resolution, Jeff. Canpotex is neutral on this issue.
Operator: The next question comes from Jacob Bout of CIBC.
Jacob Bout - CIBC World Markets Inc.: Can you talk a little bit about your ability to increase your potash capacity past the 17.5 million tonnes, perhaps comment a little bit further on what would trigger that decision? And then maybe what is your appetite here for investment in any of these Russian potash assets?
William Doyle: Slim on the Russian potash assets just because I don't think the environment is good at the moment. In terms of the 17 point -- it's actually 17.1 million, Jacob, by 2015. We have looked at the potential for additional brownfield expansions beyond that, in the 2015, 2018 time frame. But I can tell you we haven't done any engineering work on that yet. But we do have, as I've said before, we have more mines than anybody else. So we're going to wring every drop of production out of that turn up that we have, the big turn up with a lot of different mines associated with it. So we'll see what that brings us as we get further down the road. Right now, we're concentrating on executing all these projects. And I've given Garth a bunch of gray hair in the process, but he's getting them done. And we're pretty excited about the future of those.
Operator: The next question is from David Silver, Bank of America Merrill Lynch.
David Silver - BofA Merrill Lynch: Bill, in the prepared remarks and also in the text of the release, you discussed the limitations on production at a couple of points. And you've mentioned on the call that, I think, 10 million tonnes, that would be record production for yourselves. Your competitor in Plymouth in their recent call, I think they highlighted an increment of additional production that's going to be put into service soon. And could you just discuss, is that limitation on production comment relative to demand, or are there some absolute production limitations out there at some existing producers?
William Doyle: Well I think, David, what you've seen this year, that 61 operational capacity number was based on operating without too many hiccups. And if you think about some of the hiccups that we've had, not all of that at the operation, some of it has been logistical. But you had a strike in Israel, that was a problem. You've had a frozen port facility at St. Petersburg that lasted a lot longer than anybody thought. You've got water inflow at Belaruskali probably right now, even though we don't think it's anything that is life-threatening from what we know. I can guarantee you, it's got their attention. And those things, when you're pumping water out of the same shaft, that can interrupt production there a little bit. We've talked about some of the ramp-up issues at Cory. You go across the board with these -- you get into various ore grade anomalies. You hit a salt horse. There's just a lot of issues that people don't take into account when they're thinking about operating one of these huge facilities. And we knew that it was going to be a tight year from a supply point of view, but it's turned out to be even tighter than we thought. And most people in the marketplace have seen that supply/demand really come to an important decision-making point for them, that they better move, though in certain markets that never quite got it unfortunately, which we've talked about enough on this call. And we think that the market is going to be constrained by supply here for the next few years. And that's going to be an issue. And that's why I say that our expansions are going to be perfectly timed for a constrained market.
Operator: The next question comes from Paul D'Amico of TD Securities.
Paul D'Amico - TD Newcrest Capital Inc.: Bill, just 2 quick ones, the first on the potash sales volume guidance. Does that include any volume to India in Q4? You don't have to quantify them, just curious if it does. And secondly, if you can give some color on the lag in the domestic price increase from announcing it in June to having some realization in Q4.
William Doyle: All right, Paul. I'll touch on India Q4, and then let Stephen talk about the domestic. We will have volumes for Q4, and really what we think is going to happen in India is we may have discussions about Q4 and Q1 of 2012 because that's really the Indian fertilizer year. But we're going to have those discussions probably around the time of the world TFI meeting in September. There really isn't any point to having discussions now because we don't have any tonnage for them, so it's pretty hard to agree on anything. And I'm sure that they will come to a conclusion with other suppliers around the world between now and then. But I really think you ought to think about it more in terms of a 6-month window beginning October 1 to March 31. And we'll see where the market is at that time. The problem is it's been a little bit like a dog chasing its tail this year. And it never quite up to the tail because they always want the price that was 4 months ago, but the market keeps changing. So you can't get the price 4 months ago in an ever-increasing tightening supply-constrained type market. And that's been the issue. Stephen, you want to talk about the domestic side?
Stephen Dowdle: Yes, Paul. We announced in July 1, $30 price increase for the domestic market with immediate effect for all new orders. It was understood that those deliveries would take place during the fourth quarter, as all of the summer fill orders needed to be in particularly at this point in time when we anticipated a very, very tight market, and we needed those summer fill orders in for planning logistical deliveries, et cetera. We will see the implementation of that $30 price increase during the course of the fourth quarter. We've already taken orders at this new price, and we'll begin delivering at the new price during October.
Operator: The last question today comes from Charles Neivert of Dahlman Rose & Company.
Charles Neivert - Dahlman Rose & Company, LLC: Just had a couple of quick questions. In terms of the CapEx, not so much in the next year or 2, but beyond 2012 to maybe 2015, as you're ramping up, can you give us some idea about what those numbers are going to look like relative to today? And then sort of connected to that, the royalty and the tax timetable and how that's going to look going forward from 2012 going forward as it -- I guess that number will start to come up again. Can you give us sort of an idea about how that's going to look going forward?
William Doyle: All right. I'll have Wayne talk about the -- I'll let Wayne handle both of them, CapEx and the royalty tax timetable, and then we'll see what follow-up we have. Go ahead, Wayne.
Wayne Brownlee: Right now, our projections are that our CapEx should pull down to about $2 billion next year and then probably drop down to $1.5 billion in the following year and then probably down to about $500 million the following year after that. Obviously, depends on whether or not we pursue with any incremental brownfields at that time. But that's with the current planned construction activity. The tax change will be affected by 2 things. One, it will be affected by the capital spending, which is deductible against current income, and it will also be dependent on the sales volume that we have. If the sales volume perfectly matches the volume growth that we have and we get the offset of the CapEx down, then I think that it could probably go. And this is just those little books for dummies that you plan on about a 10% tax rate on those numbers, between 10% and 12%, that probably is a reasonable reflection of what you would have up to 2015. Once again, just to repeat, that's only on the mining tax. It doesn't include all the other tax liabilities that we enjoy as a producer of potash in Saskatchewan.
Denita Stann: Great. Thank you, everyone. We really appreciate your time today. If you have any questions, don't hesitate to give us a call at the office.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.